Operator:
Philip Carlson: Welcome everyone to Terra Tech's First Quarter 2016 Financial Results Conference Call. A replay of this call will be available at www.smallcapvoice.com and will be archived on the Investors Relations section of the Terra Tech website. Before we begin, please let me remind you that during the course of this conference call, Terra Tech's management may make forward-looking statements. These forward-looking statements are based on current expectations that are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. These risks are outlined in the Risk Factors section of our SEC filings. Any forward-looking statement should be considered in light of these factors. Please also note, as a Safe Harbor, any outlook we present is as of today and management does not undertake any obligation to revise any forward-statements in the future. With me on the call today are Mr. Derek Peterson, Terra Tech's Chairman and Chief Executive Officer; and Mr. Mike James, Chief Financial Officer. With that, I would now like to hand the call over to Derek.
Derek Peterson: Phil, thank you very much for the introduction, and I want to thank all of our shareholders for joining us today as we discuss Terra Tech's 2016 first quarter results, as well as providing an operational as well as business update. Top-line revenue as everybody has hopefully had a chance to see has increased to $1.5 million, that’s an increase of 103% compared to the prior year period-over-period. The increase was driven largely by higher sales from the Edible Garden division, we had a warm summer anybody back in the Northeast saw and we were able to get higher production and the stores started buying more products which was an unexpected boom for us. I wanted to remind everybody because I get a lot of e-mails so they have complete understanding that even though we acquired Blum up in Oakland during Q1, it was literally on the last day. So, none of the financial results in Q1 have anything to do with Blum revenue coming out of the retail facility in Northern California. Following up on that, again like I said, we acquired Blum Oakland on March 31, which made us the first only U.S.-based publicly traded company that touches every aspect of the cannabis lifecycle from cultivation to extraction to branding and now with the acquisition of Blum, full retail sale. This acquisition enhances cash flow and positions us to capitalize on the Medical Marijuana Regulation Safety Act, otherwise called MMRSA, which comes into effect this year. And it will allow companies to operate on a for profit basis. Let me repeat, it actually comes into effect in 2018. There are some portions like before profit piece that may come into effect in advance of that just everybody for understanding. In addition, we opened a new Las Vegas dispensary in Western Avenue, with the grand opening we actually had on April 20. It was well attended. I get a lot of questions on the lab rating on sales. Q2 is going to be the fully integrated quarter that has both Blum as well as sales from the retail division in Nevada. So, I wanted to make sure that people understood we normally don’t - we don’t issue when we discuss sales until it comes time to quarterly report. We’re putting a lot of marketing efforts in place in Nevada, and Nevada is a unique area, as lots of people know that have been there, it’s really relationship build but it’s also its financial build. And there is a model here when it comes to marketing and expanding, and it’s really the centers of influences, it’s the casino host, it’s the night life teams, it’s the day-club cruise, the street teams as well as other relationships that we may have. We just brought on DJ Franz and which is the resident DJ at Drai’s Nightclub to be brand ambassador. And we’ll be bringing out more and more brand ambassadors in the city as time goes on to make sure we have centers of influences that are directing people to our taken facilities as they continue to open up. Cultivation and production, let’s talk a little bit about operations. Production of IVXX, brand medical cannabis products during the first quarter we had a little bit of an interruption. I wanted to discuss that in a little bit of detail. We first produced a batch in early I want to say it was early January, of chowder [ph] that became a little bit unstable. We distributed out to retailers, we saw that the product became unstable. What I mean by that is nothing to do with the efficacy or the quality or the cannabinoids content, literally just the OpEx of it. So, essentially, chowder, which is more of a glassy type hard candy structure, began to break down into sugar. So what we did at that time was we pulled the product back from retailers. We immediately revaluated our operational and protocols and standard operating procedures and found out over little bit of period of time that we were missing a step or we added in some steps that some of our scientists hadn’t done before, they brought this product that wasn’t sugaring at a higher temperatures. It made it completely stable. So, one thing that we didn’t do when we launched the IVXX brand was actually sit down and do really focused R&D. We knew how to produce the product, we had to put out a product that has zero parts per million. But we didn’t enough time in my opinion really developing SOPs and the protocol. So, during this downtime in Q1, we actually utilized that time to not only correct our product but actually sit down and review all of our products from an Optics standpoint, never any issue with efficacy as I said, never any issue with having residual anything in any of these products. We always focus on putting our products at zero parts per million. But Optics is becoming a more and more important part of cannabis sales from flowers to pre-fills to concentrate, you name it, I mean, people are starting to analyze these products like they do find wine. So, knowing that MMSRA is coming into effect shortly and knowing that the competition is going to be decreased because there is going to be a limited amount of permits, we wanted to make sure that we have those positions in place, from those protocols in place prior to that happening. So, it affected our Q1 sales a little bit but again we’re in this for the long-haul. We wanted to do it right and we didn’t want to do it fast. So, we have a little bit of, I don’t want to even say step-back we still had good overall revenue in the space but it could have been a lot better if we didn’t have the slowdown associated with that in Q1. In addition, we again announced during the Q1 the subsequent quarter-end, we launched a new line of IVXX branded pre-filled cannabis cartridges. Why are these cartridges I think an important part of the IVXX part is convenience items are becoming a larger piece of the marketplace. Concentrates in general are maybe 10% of the marketplace a few years ago. And now they’re approaching 30% to 40% depending on the jurisdiction. So concentrates in general are becoming a larger piece of the sales cycle and convenience items will be able to assume these concentrates and a product like a pre-filled cartridge especially in Las Vegas where people want grab-and-go’s is becoming a larger piece of the marketplace. So, we put a lot of time, effort and energy into developing the oils and we put up the first line of the products which is our lower THC applications we were going to be launching different levels of the cartridges over the next couple of months. And we’ll keep investors updated. But we think that’s going to have a very accretive impact on the revenue growth of the IVXX brand, especially when we’re able to introduce that into the data marketplace. In addition to that we’re going to be launching new varieties of cannabis strengths, products with varying potencies and those types of things. Again, we use that downtime in a lab to not only beef up our R&D on the pre-filled cartridges as well as our regular concentrates but to sit down and decide what we want to be launching over the next 12 to 24 months. Little bit of a regulatory update. California Medical Marijuana Regulation and Safety Act written into law January 1, 2016, we expect that to come into force in 2018. The fore profit portion of it is going to be left up to the local municipalities. We’re working with the City of Oakland specifically for the Blum dispensary up in that location to see when we can move from a not-for-profit status and not have to focus on operating in that manner and can work in an environment that’s for profit. And so, we’ll keep investors appraised as we make traction in the local arena there. Business licenses are going to be issued in the State of California. They have multi-different licenses from retail to cultivation, different types of extraction licenses. The beauty of our facility is lot of you may know but some of you may not, up in Oakland, as we’re vertically integrated in one campus, we have retail sales, we have extraction and we have a large-scale cultivation. Again, this gives us a leg up on competition for not only transparency in the sales cycles from the retail standpoint but quality of product being able to adjust product, being able to adjust strengths according to what market demand looks like and having full transparency from the seed-to-sales cycle. The new regulation doesn’t allow for vertical integration unless you are already permitted by your local municipality. And there is, not a lot of facilities in my understanding in the entire state they’re going to be able to say that coming into the new regulation. So I think that’s going to give us a real competitive advantage. And I think that’s going to be a real value-add for the Blum franchise. In addition to that, we’re very focused on what they’re now calling the Sean Parker Initiative. He is the one that’s backing or putting most of the financial backing behind the recreational initiative in California. And that’s a big focus for us. I mean, I don’t think recreational changes impacts the business from a ridiculous significant standpoint but what it does is, it certainly leg up, and I’ve used the analogy before California recruits and that’s about 65 miles per hour in recreational bumps us up to 80. Again, it’s somewhat of a queasy recreational state with pretty last and broad regulatory rules when it comes to patient’s access to the product. Nevada, it’s a different story. Nevada has recreational in November as well. Nevada is ramping up right now the medical platform is getting easier for patients to get signed up. All of the different companies are sales included or make sure we’re marketing to add up state people to utilize the multi-state reciprocity, the ability to service patients from other states. So we’re doing a lot of branding and marketing so people understand that when they come in from California, Arizona, New Jersey, wherever it happens to be and they have a medical card from that State they’re able to buy product in Nevada when visiting. And I’ve used the analogy in Nevada, and Nevada goes from about 10 miles per hour because it’s a new economy to 100 and if recreational passes. So we’re putting a lot of our effort and energy in our marketing effort, in our branding effort and just the public persona that we have in the traction media we’ve able to be consumed to really focus in passing that regulation come November here in Nevada. A little bit of an operational update on the Edible Garden division. As you’ve read in the past, we signed additional distribution agreements which are expected to continue to drive sales of our non-GMO fresh produce. Edible Garden received the following certifications in the quarter, USDA Certified Organic, the Non-GMO Project Certification as well as Kosher Certification, all of these tie into the Global Food Safety or GFSI Certification issued in the September of 2015, which has been to us an important seal of approval to cement our reputation as a trusted provider of fresh natural produce. And to tie that into the cannabis side, again, why I think we were so successful in Nevada was really to do with our large-scale cultivation abilities as well as our broad medical marijuana experience that we had with our teams that we partnered with up in Northern California. So, that division showcases and brings a lot of legitimacy when we talk to legislators and we’re going through a competitive permitting process that they see that we produce that amount of product on a monthly basis that we don’t have issues with food borne illnesses, that we manage a facility of that size and all the logistics associated with it. That’s been a very strong foot-forward to us again when we sit down with these different regulators. And we’re going to continue to make sure we showcase that as we compete in new markets around the country. In addition, Edible Garden signed an exclusive licensing agreement as you read recently with Nutrasorb LLC, to grow and commercialize nutritionally enhance lettuces in different varieties that are developed in conjunction with Rutgers University under the name SUPERLEAF. Edible Garden provides us with stable revenue. So, essentially, we produced with this coalition with Rutgers University and this Nutrasorb LLC, a lettuce that is extremely high from a nutrient density standpoint. It’s essentially a super-food there is more oxidants than blueberries. And consumers right now are becoming more and more educated. At first they really wanted the organic and then they wanted the local grown. So the trend now is moving towards when I spend a dollar at the grocery store, what am I actually getting for that dollar from a nutrition standpoint. And people when they buy things like iceberg lettuce they know they’re getting something but it’s not giving them very much back from a nutritional standpoint. And we want to make sure we put products out there and educate the consumer bases when they know they’re spending a $1 with Edible Garden, they’re getting a fresh local product, again that has all the certifications associated with it. But in addition to that, they’re getting extremely high nutrient densities compared to our competitors. And in addition to that, and I said this since day one, and I just guided back in earlier to the medical cannabis side, is I think we’re going to see a fast-track medical cannabis either broad medical cannabis movement in potentially recreational cannabis in New Jersey. And we’ve been spending a lot of time and energy focusing of lobbying and focusing on working with legislators, inviting them out to our facility so that when new legislation comes into effect, we can also utilize that facility for cannabis cultivation for the new shareholders that are on the call today. With that, I’ll turn the call over to Mike James, Terra Tech’s Chief Financial Officer, so he can go into a little bit more depth in terms of the financials.
Mike James: Thank you, Derek and good afternoon everyone. I’ll now provide you with a summary of our first quarter 2016 results. For the more detailed results, please refer to the press release we issued earlier today, which is posted on our website along with the Form 10-Q filed with the Securities and Exchange Commission. In addition, please note, that we compile our financials under U.S. GAAP including our non-operating expenses. For the quarter ended March 31, 2016, we generated revenues of approximately $1.548 million compared to approximately $763,000 for the quarter ended March 31, 2015, an increase of approximately $785,000 or 103%. The increase was primarily due to the revenue generated by Edible Garden, with the sales of its herbs and floral products. As a reminder, the acquisition of Blum Oakland closed on March 31, 2016 and the revenues from this are expected in the second quarter. Our gross margin for the first quarter of 2016 was approximately 8.65% compared to the approximately 28.55% for the same period a year ago. In the first quarter of 2016, Terra Tech’s wholly owned, subsidiary IVXX began to research and develop new forms of extracted cannabis products. In addition, the company has reworked and refined their proprietary recipe of extraction to producer higher quality and more stable product in both appearance and efficacy. The necessary activity has incurred additional clause of operations and it’s taken time and lab away from our ordinary production. SG&A expenses for the quarter totaled $2 million compared to $2.3 million a year ago. The decrease was primarily due to a significant reduction in legal and consulting fees which was partially offset by an increase in research and development in conjunction with IVXX’s refined proprietary extraction assets. We incurred a net loss of approximately $4.1 million or $0.01 per share for the quarter of 2016 compared to a net loss of approximately $2.1 million or $0.01 per share for the quarter ended March 31, 2015. The primary reasons for the increase in the net loss are related to an increase in revenue, a decrease in cost of goods sold as a percentage of revenue, a decrease in SG&A expenses and a reduction in the issuance of convertible debt warrants. Now, turning to the balance sheet, on March 31, 2016, we had cash balance of approximately $1.131 million compared to a cash balance of approximately $418,000 at December 31, 2015. Short-term debt as of March 31, 2016 amounted to approximately $554,000 a decrease of approximately 40% compared to approximately $917,000 as of December 31, 2015. Stockholders equity for the first quarter of 2016 amounted to approximately $7.6 million, an increase of $1.3 million compared to $6.3 million as of December 31, 2015. Total revenues generated from cannabis products for the first quarter of 2016 totaled $130,000 compared to $300,000 for the first quarter of 2015. The decrease is due to our decision to halt production after discovering an unstable batch of products. Now, I’d like to turn the call back over to Derek for some closing comments.
Derek Peterson: Mike, thank you for that. The other thing I want to take a moment to do is discuss real quick an update on the different projects we have coming out of Nevada before I wrap up here, because I get a lot of questions on what’s where in terms of construction projects. And what we did before is we gave a little bit of a ballpark because it’s kind of tough to give a full construction timeline, so we actually get in and finish demolition and abatement and that, types of things. So, a couple of the facilities for example we found asbestos we had to spend some extra time debating this asbestos. A couple of the other locations we found not to code faulty wiring, we’re talking about over-buildings here. So, when you’re not dealing with new construction, a lot of times you’re not going to see what’s below the surface until you get in there. And now that we’ve had a chance to complete demolition in all locations and complete abatement in all locations and actually begin construction, we have firm timelines, relatively firm timelines on when we’re going to finish. So, first with tackle Decatur, which is actually one of my favorite locations because I think the neighborhood over there reminds me a lot of the facility we have up in Oakland. Right now, as everybody knows, we’ve submitted our Clark County business license application there, which is in full construction mode. Construction is set to conclude right around July 1 to give or take a day or two and then we expect to begin operations shortly after that. So, remember once we finish construction, we have to then go back to the local county and then make sure that they understand that we finished everything in compliance with how we were issued the building permits. And then we have to deal with the state to make sure they can do a final walkthrough and make sure that we did what we said we were going to do and execute it according to our permit. And sometimes those happen in a week, sometimes those happen in two or three weeks, we’re able to get through that process very quickly when it came to Western. So it’s always like that a week or two buffer expectations for as far as that’s concerned. Desjardins [ph], we also submitted our Clark County business license application for that, and we’re scheduled right now to finish construction towards the latter part of August. The Reno dispensary, we submitted our business license application to the City of Reno Business Licensing Division and we’re also scheduled to conclude construction at the latter part of August as well. We expect to begin operations for both those locations like I said shortly after depending on how quickly we can get the local government to come in and finalize as well as the state for their final walkthrough. Clark County cultivation and production. Again, we submitted our Clark County business licenses for cultivation and production facility. We’re actually putting shovel to sand in Phase 1 of construction in July of 2016 with a completion date in January 2017. And we tweaked the facility there a little bit and I wanted to expand on this, so people understood we’re trying to make sure we have some measure of flexibility because this construction is going to be in the middle of the recreational cannabis initiative. So, we’re building out this facility in a scalable format meaning that come November, if recreational doesn’t pass, we can light this up at a phase at a time, we’re not forced to build out the entire scope of the facility in one shot if the market is not such that it’s going to be able to support the demand that’s coming out of there. If we’re fortunate enough in recreational passes, will it be all pre-permitted and we’ll be able to pivot, if we need to pivot and build out the full large-scale facility from the ground up to make sure that we have the full capacity and we’re going to need for what I believe the recreational demand will be out there. Washoe County cultivation, we submitted our business license application with Washoe County as well. And we’re currently analyzing and finalizing the build-out and the construction timelines and the architectural drawings up there as well. We’re taking our time on that because again we’re trying to put as much time between now and the recreational facility, recreational initiative is absolutely possible, like I said, we go from 10 miles per hour to 100 in a very short period of time if that passes. And we want to make sure that the facilities are built to accommodate that. And if not, we don’t want the large overhang and the burn associated with that. And we grab the scale into and if it’s going to be just focusing on the slower growth as far as the medicinal program is concerned. So, again, thanks Mike for the financial update. I wanted to say to everybody in summary, we’ve opened two new retail facilities, first being the Blum acquisition and the second being the Western location that are in full production come for the second quarter which again when we release the Q2 numbers, everybody will see a fully integrated financial performance for all divisions which we’re excited to be able to showcase. Legal framework from a national perspective is starting to come into place to support growth. We’ve been operating for the last five years with nothing but headwinds. And I’ve said this to a lot of people in the past we have every risk that a normal business has. We have competitive risk and marketing risk and financing risk all those types of things. But what a lot of people don’t realize is working in this space, especially if you back-track a few years ago, we had a ton of legislative risk, a ton of political risk, legal risks, enforcements risks, so many things that other companies don’t have to deal with. And so that’s why I’m thrilled with the progress that we’ve made and I’m thrilled that we’ve been able to execute at the level that we’ve been able to execute. I mean, when I started this company with Mike James, I think the first year we did $0.5 million in revenue and to be able to be where we are today and forecasting this year, with not even a full year with Blum at $20 million to $22 million, we’re very excited about that progress. And for the first time, from my personal approach, we’re operating in an environment where we’re starting to begin to have some tailwinds. If we get 280-E figured out and get some banking issues figured out, we’re going to be able to scale very, very quickly. And we’re positioning ourselves so that our brand is able to scale, so that Blum is able to scale and so the company in whole is able to focus on how to develop these products and put them out to consumers with economies of scale and mind once we have the environment that supports that. So, again I wanted to say thank you to my management team, that’s executing in all areas of the country right now from New Jersey to Northern California to Las Vegas and everyone in between. I wanted to say thank you to our stockholders that took the time to listen to the call today. And we’re going to continue to give updates as time goes on. So, I’d like to turn the call with that back over to Phil. I know we have some questions that were sent in by shareholders and stockholders. And I wanted to make sure we have an opportunity to answer some of those.
A - Philip Carlson: Thank you, Derek. So, the first question we have, do you have a timeframe for potential reverse split and can you comment on potential NASDAQ up-listing?
Derek Peterson: Okay, yes, we get that one all the time. So, I’ve always said that my only need for reverse split would be for an uplifting. And I’m sticking to that to this day. To me to reverse into a vacuum with my financial background, I just don’t think makes sense. Now if there were a financing need, if there were a large financier that wanted to come in and great us great terms, and then that was one of the things they wanted to see happen, we would certainly be open to that. But as we sit right now, that’s a tool and the mechanism we want to utilize for potential uplifting. Now in terms of timing, for all practical purposes we need most of the equity standard right now. We’ve been able to increase shareholders’ equity to $7.6 million, every quarter it seems to be going up. So, we meet the standards with the exception of the price per share. However it’s my feeling that the NASDAQ isn’t going to be ready to take account of this company. And I say that because I believe they’re going to want banking regulations to be dealt with before they let a company up on the exchange because if I’m there, if I’m putting myself in their shoes, I mean, two things; I want a large company that has high degree of financials, a healthy balance sheet, good operating cash flow. I want to make sure whatever company is the first company, because the national news it’s going to be, it’s going to have some size and scope and scale associated with it before I take the risk on it. Because it’s going to be an embarrassment for everybody if the first company that gets up there doesn’t have the ability from a capitalization standpoint to remain uplifted. It’s very difficult to maintain listing on exchanges. I mean, right now we’re putting [indiscernible] type compliance into our financial protocols and our operational protocols, and shortening our filing deadlines to 30 days on the Qs and 60 days on the Ks, instead of 45 and 90. So, there is, a lot of extra headwinds that are associated with uplifting. So, while we’re in a hurry to do it, because we ultimately want to be listed there. Part of it is qualitative and part of it is just waiting for the exchanges and for the industry development for them to ultimately have a measure of comfort with us. And between now and then, my job and our job and the manager of the team’s job is to build the company’s scope and size so that when you do put in that application, that we’re a real contender, that we have real legs underneath those. I hope that kind of answers the question.
Philip Carlson: Perfect. Question number two, what is Therapeutics Medical and is there a relationship with Inergetics?
Derek Peterson: Okay, we’ve been getting a lot of questions there. So, no, there is no relationship with Inergetics or NRTI. What happened was those assets were collateralized by a financier of Inergetics. Inergetics, I believe the financier took possession of those assets to satisfy their debt. That financier reached out to us as a potential buyer of those assets. We looked at the assets, we looked at their ability to integrate with our consumer brands division on the Edible Gardens side and we also looked at it from a broader medical cannabis perspective and I’ll elaborate that a little bit in just a second. So, we were able to get some very, what we feel are good solid growth brands between the Bikini Ready and the Vitamin Way and the other distribution products that are being distributed at what we believe is pennies on the dollar. So we purchase those assets using a debt instrument from the financiers and brought those in-house for two reasons. Like I said, we believe those products stripped out of that larger entity are going to be very valuable for us. But more importantly, the cross selling initiatives, we picked up about 5,000 retail doors with those products. Those are 5,000 retail doors in addition to the 1,800 to 1,900 that we already have where we can cross-sell Edible Garden products and vice versa. So, for us this is a one plus one type scenario equaling three. And more importantly, if you look what’s, going in Canada right now, the pharmacies are trying to get in the middle of medical marijuana distribution and that type of thing. And the distributors that we picked up on the Vitamin Way side, a large amount of those were pharmacies and those types of stores. So, we don’t know where medical cannabis or recreational cannabis sales are going to go in the future, nobody can say that for certain. But I wanted to make sure that we have all avenues covered and the acquisition of these assets gives us penetration and vendor accounts in the large scale retailers. If they ever end up being sales points for cannabis in any way shape or form, we’ve got existing relationships with them distributing product into it. And one of my famous sayings is the Wayne Gretzky analysis, the famous hockey player, why are you so successful Wayne. Because I skate where I think the puck is going to be not where it is. Now I don’t know exactly where the puck is going to be but I can tell you I want to make sure and make certain that we’re at least in the ballpark of where we think it’s going to be despite what people are telegraphing in the short-term now. So, we’re building out our own retail initiative with the Blum dispensaries obviously, one sales point. But that’s ever opened up abroad and out like I said we’ve got existing relationships with key products and long-standing relationships and the reputation of being able to fulfill with a lot of these major, major retailers throughout the country. And that’s a huge leg up for us for distributing additional products down the line.
Philip Carlson: Great. Next question, there are many states in the verge of having medical marijuana become legalized. Are there any plans in the works for Terra Tech to expand its medical marijuana business across U.S., outside of California and Nevada?
Derek Peterson: Yes, I mean, absolutely. We want to be everywhere right. And I mean, everywhere that’s productive for us. So, the first thing we do is we look at the legislation. And then we look at the things like population density second. And New York is a great example of that. We started down the road in New York we started building relationships, meeting with legislators. And then when we found out the regulations are going to be so limited and there was going just really force the continuation of a black market there, we bowed out. And we bowed out because we didn’t want to put the capital forth and what we would perceive as a limited market. My understanding is we’re hearing that people are in a relatively distress situation there right now because of that. So, we have an absolute interest to look at other markets. We have other applications out there in different jurisdictions that we’re waiting on seeing if we get them. But for all practical purposes, California with the size of the economy that is, being the largest cannabis economy in the country, if not potentially the world, we want to execute here. We want to execute at home and we want to execute in Las Vegas because of recreational passes in Las Vegas with over 40 million people coming in here on an annual basis. That’s a significant marketplace. I mean, the national average is somewhere just shy of 10% for people that have utilized cannabis before. If that is of the same ratio we see in Las Vegas from a recreational standpoint the numbers are staggering when you extrapolate that across just a handful of dispensaries. So, we’re excited about, mostly about those two markets but we’re absolutely paying attention to everything that’s going on around the country. Florida is an important market to us but we’re not going to go anywhere unless the legislation is broad enough to make sure that we can recoup the money that we’ve put out, the capital and energy that we put out from a financial standpoint. What we’re primarily looking for right now is additional acquisitions in the California marketplace. It looks like Colorado might be opening up to out-of-state investments and that’s another focus because it’s a very developed market there. So, we’re certainly going to be looking for good operators in that marketplace as well. So, we’re certainly open to everything to summarize but we’re focusing on California and Nevada as the key marketplaces. We’re focusing on a long-term game of gaining additional permits out there but at the same time we want to make sure we focus on our short-game which is short-term accretive cash flowing acquisitions, which again we’re excited about the Blum acquisition because it’s going to be a nice cash flow metrics for us. And again, we’re excited about having the ability to be able to showcase that in our Q2 numbers.
Philip Carlson: Okay. Do the owners of Blum Oak also own the Green Door in San Francisco?
Derek Peterson: A lot of our shareholders, they always do a lot of homework. Yes, there is some ownership overlap. And I think I have said this in a prior call or in an interview somewhere, when Sol [ph] and I won the permit up in Oakland, none of us had any long-term experience operating medical cannabis dispensaries. So the first thing that we did is we looked around the Bay area for some of the better operators. And we met with all of them to bring them in as operational partners. And ultimately when we finished that round of due diligence we arrived to the team that was operating the Green Door which has been around for substantial amount of time. It has built a great reputation in the city for not only their service and customer service but also for the strengths, the unique strengths and the consistency of their menu boards. They brought that over to Blum which is why we went from zero to where we are today in such a short period of time, seeing 1,000 patients a day, having over 40,000 registered patients. We did 2,092 patients on April 20. And we wouldn’t have been able to do that without that core competency and that core expertise. So, yes, there is ownership overlap and it’s nice for us because it gives us an additional retail outlet to push the IVXX product in the City of San Francisco, which is a very developed market for us.
Philip Carlson: Okay. Could you supply some information how the sales are going at the Blum Las Vegas location and what’s revenue and expected opening date on Decatur Boulevard?
Derek Peterson: Yes, so we touched on all the opening dates. So again Decatur, we’re going to finish construction right around July 1. And then depending on when the stake comes down and gets the final walkthroughs, I think a week or two after that we’ll be able to open for operations. And then we’ll probably want to do a soft opening just like we did in Western and then scale into something that’s broader. In addition to that like I said, I don’t want to go into individual sales reporting for individual units. We’ll be able to showcase that and highlight that and discuss in further detail. And I also want to remind investors and shareholders that when I put up the revenue guidance of $20 million to $22 million for 2016, that only included three quarters of Blum in Oakland. So the run rate is a lot more significant than that, number one. And number two I estimated zero sales for the entire State of Nevada for the remainder of the year. And I did that because forecasting like I said is a delicate art blended with science as it is. And to do that in a new economy and in a new area and a new industry to me was very challenging. So I’d rather just get a run rate and develop run rate going in there, review it after Q2 and if I need to make an upward assessment or an upward adjustment to the $20 million to $22 million for 2016, we’ll do that at some point later in the year.
Philip Carlson: Okay. Next question is, can you discuss the decrease in IVXX revenue for Q4?
Derek Peterson: Yes, Q4 was a little bit of a different issue. So when we launched the IVXX brand to be able to produce that tracks, we need access to trim outdoor, great indoor flowers and those types of things to be able to run. There is, a lot of brands that are developed in the California marketplace that have built relationships with a lot of these providers. So when we jumped in the middle of the supply chain and started scrambling for product to put into the machines to be able to produce concentrates, we wanted to make sure that a; that it was top-tier product but b; a lot of these people already had their products spoken for. Now, that they know that we’re a major producer out there, now that we know that we have a significant appetite, we’ve been able to build those relationships on a go-forward basis specifically in Q2 from now going forward, we feel like we have a handful of providers that produce an outstanding product. So the quality and to get the quality out is not an ongoing issue, backing up to mid-to-late last year, like I said we were always scrambling for product having to outbid people for just to get the relationships and so that we had product going in. We obviously have trim in that type of thing and other product coming out of our own cultivation but Blum was not part of Terra Tech obviously at that time. So, the beauty of having those can join now is that seed-to-sale supply chain. So we have our own on-site cultivation that we’re able to pull product from. And we have our own on-site cultivation that has the leftover trim product that we’re able to run on a consistent weekly basis because we have the cultivation to basically set up to do weekly-by-weekly harvest, perpetual harvest up there. So that’s now a benefit for us. So, it’s leaving any issues of us having quality product to put in the machines to get the quality out ultimately.
Philip Carlson: Okay. And lastly, what are the 2016 projected revenue targets for IVXX and Edible Gardens?
Derek Peterson: Yes, I didn’t want to break down as far as the segment is concerned. But like I said we put out the $20 million to $22 million and that was a combination of three quarters of Blum, a little bit of progress out of the farm and a little bit of progress out of IVXX. So, again, we didn’t account for much growth in IVXX, we didn’t account for anything out of Nevada as far as that estimate was concerned. I wanted to be ultimately conservative we’re thrilled with where those numbers sit. And like I said come to latter part of the year if we feel like we adopt those estimates after we have a chance to see what’s coming out of Nevada and then how we see these pre-filled cartridges take place in the California marketplace, we’ll make some adjustments if we need to.
Philip Carlson: Perfect.